Operator: Good day ladies and gentlemen and welcome to TriMas fourth quarter and full year 2007 earnings call. At this time all participants are in a listen only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder this conference is being recorded. And now ladies and gentlemen you host for today’s conference, Sherri Laderbach, VP of Investors Relations of TriMas.
Sherry Lauderback: Thank you and welcome to the TriMas Corporation fourth quarter and full year 2007 earnings call. Our President and CEO, Grant Beard and our CFO, Skip Autry, will review TriMas’ fourth quarter and year end results in addition to providing outlook for 2008. To facilitate this review we have provided a press release and a PowerPoint presentation on our company website, www.TriMasCorp.com under the Investor section. After our prepared remarks, we will have a question-and-answer session for the audience. Also present with us today from TriMas is Bob Zalupski, Vice President and Treasurer and Dave Mosteler, Director of Finance for Operations. A replay of this call will be available later today by calling 866-837-8032 with a reservation number of 1214550. Before we get started I’d like to remind everyone that our comments today which are intended to supplement your understanding of TriMas may contain forward-looking statements that are inherently subject to uncertainties. We caution everyone to be guided in their analysis of TriMas by referring to our Form 10-K for a list of factors that could cause our results to differ from those anticipated in any forward-looking statements. Also we undertake no obligation to publicly update or revise any forward-looking statements except as required by law. We would also direct your attention to our website where considerably more information may be found. At this point, I’d like to turn the call over to Grant Beard, TriMas President and CEO.
Grant H. Beard: Welcome everyone to the TriMas Corporation fourth quarter and year end earnings call. This morning Skip and I will review the financial highlights of our company, overview our segments and provide our outlook into 2008. For those of you following along with our presentation deck, please turn to the slide titled 2007 Major Accomplishments. 2007 was a very significant year for TriMas Corporation. Our renewed focus on growth and business development supported revenue growth within each of our five reporting segments. TriMas Corporation had revenue growth in aggregate of 5.4% over fiscal year 2006. Our company launched new products across our entire portfolio of companies and saw increased market penetration in core strategic markets of aerospace, specialty packaging, energy and medical products. Our growth was moderated, however, by the end market weakness of our RV and trailer and recreational accessory groups served market segments. These were down approximately 10% in aggregate in North America. Both groups grew however in these markets in spite of demand weakness via new product introductions, cross selling and international expansion. This accomplishment is a further validation of our market leadership and product offering depth into these served end markets. In addition TriMas saw its total international and export sales grow 12% to over $300 million which also validates our strategic goal of increasing our global diversification. Our company also continued to increase its buying of components and products from low cost countries and we further reduced our fixed cost footprint in North America during 2007. These initiatives not only supported margin expansion for TriMas but continued to make our cost structure more variable. With a great sense of pride TriMas again became a proud member of the New York Stock Exchange with our initial public offering in May of last year. This event in combination with continued operational performance coupled with $65 million in cash flow from operations drove our leverage ratio to a five year low at December 31st of 4.08X. As Skip and I reflect back on 2007 it was a year of significant accomplishments culminating with our becoming Sarbanes-Oxley Compliant as a new public company. Now turning to the slide titled 2007 Special Items, TriMas did incur several special item charges that we believe mask the true operating performance of our company. First as we have previously announced TriMas incurred $30.6 million of pre-tax charges related to our IPO debt extinguishment cost and the closure of our Huntsville, Ontario manufacturing facility. We also incurred a $3.9 million pre-tax charge for the termination of a defined benefit program in Canada for a facility closed within our packaging group 10 years ago. And finally TriMas has taken a $171.2 million pre-tax non-cash goodwill and indefinite lived intangible asset related impairment charge. This charge relates to our RV and trailer and recreational accessory business groups and reflects a more cautious view of end served markets in the [inveck] of our decline in stock price. This charge however does not reflect the long term value realization potential for these businesses that in 2007 significantly out performed their respective end markets. Turning to our slide 2007 Full Year Summary, reviewing our performance excluding special items we were pleased that our company’s growth initiatives supported a 5.4% revenue expansion given the weakness in some of our served markets over 2006. Our adjusted EBITDA of $143.8 million increased 6.6% over 2006 and produced approximately $65 million in cash flow. Our EBITDA margins also increased to 13.5% or 20 basis points when compared to the year ago period. Our company reduced its leverage ratio to 4.0X. TriMas income in 2007 increased to $22.4 million or $0.79 per share a significant increase over the levels of 2006. Our company had a solid year, performed within the established earnings guidance range as provided by management earlier in 2007. Our fourth quarter saw record revenue levels and a very solid growth rate of 7.1%. Our adjusted EBITDA from operations decreased slightly to $24.5 million as a result of SOX compliance costs at corporate. Net income for the fourth quarter was approximately break even as compared to a loss of $2.1 million or $0.10 a share in the fourth quarter of 2006. Turning now to our individual segments, first up Packaging Systems. For the year sales increased 3.7% over 2006. The group did experience a softening in demand for its industrial enclosures and laminates for commercial construction. Growth in the group was driven by specialty dispensing and enclosure products being sold into food, beverage, pharmaceutical and chemical markets. Packaging did re-establish year-over-year revenue growth in the fourth quarter. This group expects its future growth to be driven by its specialty designed application dispensing enclosure product lines. Our second group, Energy Products, saw revenues grow 4.1% over 2006. Our MRO gasket product line sold into petrochemical refineries had a record year. This was driven by increased international sales and the high utilization rates at refineries worldwide. Our engine and compression product lines sold into the field were negatively impacted in the back half of 2007 as natural gas prices fell. As we enter 2008, however, natural gas prices have risen considerably and are expected to remain. This has re-established demand for capital in the field at the well site and we are seeing our order backlogs grow for these products. This group is also expected to launch two additional service satellites internationally in 2008, one in Brazil and our third location into Southeast Asia. Our third segment, Industrial Specialties group, had another outstanding year. The group saw its revenues expand by 16.7% and adjusted EBITDA grew by 15.2%. We experienced strong market growth in both commercial and military aircraft applications. In addition our product line expansion initiatives are being well received. Our migration into broader medical market exposure is progressing and this strategy was augmented by our small acquisition of Dew Technologies in the fall of 2007. This investment provided TriMas with product access into the high growth spinal and trauma component market segments. Also out international initiatives highlighted by our iso-cylinder export sales into South Africa, South America and Europe have been very successful. Our fourth group RV & Trailer Products saw its revenue expand 4.2% against end markets in North America that were down 10%. The group benefited from growth initiatives in Southeast Asia and Australia as well as new product offerings in North America. This group continues to aggressively migrate manufacturing activity into its Mexican and Thailand facilities and purchase components globally. Gross margins improved in this group as a result of these initiatives. Excluding special items this group saw its adjusted EBITDA improve 6% over 2006 levels. The management within these businesses are to be commended for their leadership in 2007 and expect continued content expansion in 2008. And our last group, Recreational Accessories, had modest sales growth of 1% in 2007 as compared to 2006. This group also had end serve markets that were down an estimated 10%. This group also continues to shrink its fixed cost footprint in North America and migrate activities to low cost regions. This group’s adjusted EBITDA excluding special items grew 5.7% as compared to 2006 levels. Both RV & Trailer and Recreational Accessory business segments are the preeminent market leaders in their respective markets and product categories. Our brands stand for quality, durability and the customer loyalty we’ve worked so hard to earn has allowed these groups to grow in their cyclical downturn. The pressures f consumer credit and housing valuations we believe will persist into 2008, however, and cause further deterioration to these markets. We believe North America will be down another 10% volumetrically as compared to 2007. That said we believe our initiatives of new product offerings, international expansion and aggressive cross selling of our products into our served channels will position these groups to again out perform their served markets in 2008. Skip, I will now turn it over to you to profile our financials in detail.
E. R. Autry, Jr.: Before we get into the numbers I’d like to spend a few minutes describing the special items that impacted our GAAP results. In the second quarter upon going public we paid one time fees to terminate our advisor services agreement with Hartland of $10 million and $4.2 million to early terminate operating leases. Additionally when we paid down $100 million of our senior sub-debt with IPO proceeds we paid a call premium of about $5 million and wrote off deferred debt issuance costs of about $2.6 million. In the fourth quarter we settled a Canadian pension obligation of just under $4 million with plan assets, not company cash, related to a packaging facility that had been closed in 1997. As you may remember in early October we announced that we would be shutting down our hitch plant in Huntsville, Ontario. Q4 cash costs of $5.6 million to close the plant primarily for severance were recognized and included in SG&A. Also non-cash costs of $3.4 million were included in the P&L as an asset impairment. Additionally we further impaired goodwill and intangibles in our after market businesses. Let’s turn the page and spend a little more time on this item. During our annual evaluation of goodwill we conducted our process consistent with the process we’ve used in prior years. We also considered that our end of year and current market cap was below unadjusted book value of the company. This difference was considered as an indicator of impairment. Based upon inputs from our valuation experts, our auditors and frankly from the marketplace, we took further non-cash write downs of goodwill and intangibles in our RV & Trailer business of about $100 million and our Recreational Accessories business of about $70 million. After this write off the carrying value of our after market business approximates 6 times EBITDA. The write off after tax was $159 million or $5.61 a share. Turning to Page 19 for the fourth quarter sales were up over 7% or about 6% organically. Packaging was up over 8% on the strength of our specialty dispensing products and new product introductions. Energy was about 2% as our specialty gasket business was up over 10% while our oil and gas engine business was down as Grant has already mentioned. Industrial Specialties was up about 10% with about 7% of that being organic. Dew Technologies, our August medical products acquisition, continues to exceed our expectations. Our monogram aerospace fastener business had another solid quarter. Recreational Vehicle & Trailer was up almost 16% on the strength of our Australian business and the brake controller business here in North America. Recreational Accessory sales were basically flat with prior year and as Grant has already mentioned for the year sales grew at a 5.4% rate which is more than double the 2006 rate. Turning to Page 20 before special items Q4 EBITDA was flat with year ago levels. However from the operating segments EBITDA was up about $2.4 million or about 8%. Packaging was up $1.7 million which when compared to its incremental sales of $13 million converted at a very strong 45% rate. Energies conversion stood at 50%. Industrial Specialties’ lack of conversion resulted from temporary margin declines in monogram and north cylinder. RV & Trailer’s major increase in EBITDA results from the sales increase with a conversion of a respectable 25% rate and Rec Accessories’ decline in EBITDA with flat sales is the result of a one time favorable customer pricing adjustment in Q4 2006. The $3 million increase in Q4 corporate expenses results primarily from a $2 million increase in Sarbanes-Oxley Compliance costs and the timing of variable comp expense within the year partially offset by the elimination of the Hartland monitoring fee. Turning to Page 21 in our statement of operations I’d just like to point out a few things. Gross profit in the quarter was up 20 basis points without the Huntsville charge and 40 basis points for the full year. SG&A expenses in the quarter were also up, however, without Huntsville and the non-recurring corporate expenses for SOX Compliance the increase reduces to 18.85 of sales or about 100 basis point increase which was in support of our growth initiatives as Grant has already reviewed. For the year SG&A was basically flat before Huntsville and Sarbanes costs and when I say basically flat I mean on a percent of sales basis. The benefit plan liability settlement, impairment of assets and goodwill and debt extinguishment costs have already been discussed. Interest expense reduces due to lower borrowings and interest rate levels. The tax benefit for the year results from reducing deferred tax liabilities only on intangibles and amortizable goodwill being written off. Cash tax deductions are unaffected. On Page 23 to summarize our cash flow for 2007 let me point out a couple of items. Cash from operations totaled $65 million which included borrowings under our AR securitization arrangement of approximately $22 million. It should also be noted that inventory increased $25 million which is also an element of the $65 million. Cap ex at just under $35 million is consistent with our prior guidance. Leased asset acquisitions of $30 million was done primarily with IPO proceeds and additionally with IPO proceeds we reduced our senior sub- debt by $100 million. Turning to Page 24 regarding our cap table I wanted to point out that we reduced total debt about $97 million in 2007. We improved our bank LTM EBITDA and our leverage ratio now stands at 4.08 and our availability and cash balances exceeded $120 million. I’d now like to turn it back over to Grant for a summary and outlook review.
Grant H. Beard: As we look across our portfolio and into 2008 the following drivers will define our respective g groups. Within Packaging we expect continued to growth in specialty dispensing enclosure products sold into food, beverage and pharmaceutical markets. We believe our product initiatives will out pace the modest growth expected within our industrial products sold primarily into North America and Europe. The Packaging Group is also beginning to aggressively sell its specialty product lines globally with a focus on Western Europe and Southeast Asia. Our Energy Products Group expects solid demand in 2008. Our gasket business is expanding globally and our well site product lines are seeing backlogs grow. Within our Industrial Specialties Group we see continued strengthening of demand for both aerospace and medical product lines. Our more traditional industrial products we expect to be flat in the US but we do see export opportunities driven by increasingly weak dollar and our great product brands. Our final two groups, RV & Trailer and Recreational Accessories, are expecting continued end market weakness in North America. We are forecasting volume demand to be down another 10% in 2008. We do see growth in Australia and Southeast Asia. Our companies in these groups have significant new product initiatives and should be positioned to out perform the market as they did in 2007. Our outlook for 2008 is as follows. Diluted EPS in the range of $0.85 to $0.95 per share. This compares to $0.79 per share in 2007. Net income for 2008 of $28.5 million to $31.9 million as compared to the $22.4 million in 2007 excluding special items. Our outlook for the first quarter of 2008 is an EPS range of $0.21 to $0.24 per share. This compares to $0.37 per share in the first quarter of 2007. This EPS range will have net income of $6.9 million to $8.1 million for the quarter which is relatively flat with 2007 levels. The first quarter earnings are directly impacted by lower RV & Trailer and Recreational Accessory group earnings and the company’s increased share count. This performance for Q1 of 08 is consistent with our full year guidance previously stated. As TriMas moves through 2008 our strategic initiatives are as follows. We will focus on organic growth. We will use our free cash flow to reduce debt. We will take advantage of small product line acquisitions that support future growth but do not further burden our balance sheet and we will focus on operational efficiencies. Our view of 2008 is one of balance. We have great opportunities in front of our portfolio. We are keeping a very close eye on our RV & Trailer and Recreational Accessory business segments which we call Cequent. We will be prudent and disciplined in how we manage. I want to thank you for your attention and I would now ask the Moderator to open the forum up for question and answer.
Operator: (Operator Instructions) Our first question is from Albert Kabili – Goldman, Sachs & Co.
Albert Kabili – Goldman, Sachs & Co.: I guess the first question will be on the outlook for 08, if we just look at the first quarter $0.21 to $0.24 of EPS, that assumes a 10 to 15% decline in EBITDA and the full year guidance implies that trends get better in the second through fourth quarters. I guess if you could just talk through where you see the improvements coming?
Grant H. Beard: I think that first and foremost within our Energy Group we are seeing a re-establishment and a building of our order backlogs predominantly in our aero-engine that we sell engines and compressors out into the field. As you know we saw some weakness in the back half of the year when natural gas prices cooled down. Those prices have come up and the outlook looks fairly bullish that they’ll stay up and companies now are redeploying capital out into the field and we’ll be the benefactor of that. The remaining part of our Energy segment continues to see strong demand and is seeing great opportunities globally. Within ISG it’s a really a great demand strength in our new initiatives around medical products. We see our aerospace business building strength, not pulling back at all. In our industrial business as well our products rather while we expect fairly flat or modest sales in North America or US specifically we’re seeing great opportunities for export sales, we had great growth in 07 outside of the US and we expect that to continue into 08. A weakening dollar certainly has been a benefactor to us and I’d like to think that our great brand names and product can stand on their own but a weakening dollar certainly ahs allowed us to be much more aggressive globally. And then I think in our Cequent businesses while the first quarter was a little bit weaker than the first quarter of last year it was really as we had expected and we saw our intermediaries, the big wholesale distributors not pull as much inventory onto their shelves and we don’t see that declining, we see the broader inventory levels in the field are actually in pretty good shape, they’re not overbuilt. And we just see a tremendous amount of support for the new product initiatives we have and we think that that will drive the Cequent side of business to be able to perform in 2008 as it did in 2007.
Albert Kabili – Goldman, Sachs & Co.: Just to follow up then and if you could just talk about the first quarter, is the decline primarily all Cequent, are you expecting continued growth in the other segments? Is there some color that you can give by segment in how you see the first quarter shaping up?
E. R. Autry, Jr.: As we look into the first quarter our businesses are going to be up except for our after market businesses and we kind of, this deep in the quarter we have a pretty good view into the top line of our after market businesses and the impact that will have on our earnings. But also I think it’s worth pointing at this point that we’re taking down inventory and production levels to kind of match customer demand and as you know, Al, when we do that we have absorption issues which are pretty much going to be locked in, in the first quarter. So that I think may be the essence of why the first quarter is down disproportionately in your mind and the rest of the year. We’ll be taking the inventories down in Q1 and we’ll have the absorption effect of that. But across the rest of the businesses we’re expecting top line in performance to be up across the board.
Albert Kabili – Goldman, Sachs & Co.: And if you could, Skip, could you help us quantify just how much of first quarter impact is due to the inventory reduction?
E. R. Autry, Jr.: You know, Al, it’s – just to throw a number out there, I know you won’t hold me to it, but it’s going to be $0.04 to $0.05 I would say.
Albert Kabili – Goldman, Sachs & Co.: And that’s irrespective of – that’s beyond just a lower level of volumes? That’s taking inventory down and –
E. R. Autry, Jr.: As we’ve talked a lot we variabilize this business a lot but we still have manufacturing facilities here in North America and as we throttle those back you just have absorption issues.
Grant H. Beard: And we just want to be very prudent, Al. Our outlook is our outlook but we just want to make sure that our cash deployment is being moderated and we just want to be very disciplined about we’re managing our inventory.
Albert Kabili – Goldman, Sachs & Co.: And then, Grant, if you could talk about the priority of the free cash flow, given a weakening economy and your bonds where they’re at today, does it make sense to shift more of the priority to repaying debt or how do you see that versus bolt on acquisitions?
Grant H. Beard: I think first and foremost, Al, we have to be prudent and I think that’s why we want to focus on organic growth and we’ve got great organic growth opportunities across our portfolio and those are the best investments with the most immediate returns. We want to be aware of our balance sheet and we’ve committed to the investment public that we would in time drive our relative debt drive down. So we’re committed to doing that. There are going to be and we have already seen great opportunities. So if we were to deploy capital it would only be into very small product lines where we get immediate strategic benefit and we really don’t add any burden to our balance sheet. So we have to manage for tomorrow but we have to be absolutely aware of today.
Albert Kabili – Goldman, Sachs & Co.: I guess, Grant, in the past you talked about de-leveraging at least half a turn a year of debt, in the near term is it still that goal or near term do you see even a greater emphasis on de-leveraging? Again just given where the economy is at.
Grant H. Beard: I think given our free cash flow attributes that’s still a realistic goal and a goal we’re committed to.
Albert Kabili – Goldman, Sachs & Co.: And final housekeeping questions, one is just on the corporate line item. It went up just with the Sarbanes-Oxley costs. Is that something the $8.3 million of corporate in the EBIDTA section is that – what’s the run rate we should be using for 2008?
E. R. Autry, Jr.: Al, I think that should be in the $23 to $24 million range for the year.
Albert Kabili – Goldman, Sachs & Co.: And then if you could talk about the sale of the businesses in NI Industries, if you could just give us a sense for the revenue and EBITDA impact?
Grant H. Beard: Skip, you can do the numerics. We sold a product line that was a set of components that went into the [Laws] rocket launcher we were a party to a product line that was going to be designed out and our contract ran out in about a 30 month period and we decided to sell to our customer our assets and the remaining activity levels that were represented in that contract and we basically got the net present value of the future cash flow, but that was an activity that was going to go to zero. Skip, you could sort of fill in the numbers.
E. R. Autry, Jr.: Al, the bolt businesses that we discontinued kind of on a run rate basis would normally have $2 to $3 million of EBITDA. The rocket launcher business was kind of at the end of its run and we sold it to the strategic right partner to have the business and the amount that we got was basically the present value, what we’re going to get through the end of the program. Now on the property management side, which is the other business we discontinued we haven’t sold it yet, we’re actively in the sale process and when we complete that sale and you look at the proceeds from sales of both businesses relative to the EBITDA stream associated with them, it’ll be very reasonable and rational amount.
Grant H. Beard: They’re just two assets that have been sort of disentangled from one another because it was more to our advantage to sell them separately. The land in Southern California is very valuable and we’re in the process of trying to get it sold as we speak.
Albert Kabili – Goldman, Sachs & Co.: So when you’re saying reasonable, should we assume what 5 to 6 times EBITDA around where you’re –
E. R. Autry, Jr.: That’s a good estimate, Al.
Albert Kabili – Goldman, Sachs & Co.: And then final question, if I may, on the raw material front, we continue to see escalation in steel prices and oil continues to march up, how do you feel you are in terms price increases relative to raw materials? Should we be expecting some headwinds in 08 or do you feel you’ve got the pricing to account for it?
Grant H. Beard: I think you know, Al, for a long look back we’ve been able to get pass throughs on material movement and when we look forward into 08 we’re assuming that if we do incur material movement we can pass it through. We to date have not seen a great deal of current period movement but we are expecting steel and resin to move and we will price accordingly. We have some preemptive pricing that will happen at the beginning of the second quarter but that is sort of the basic view. We’re assuming that we will just stay neutral because we will be able to pass through as we always have been the impact of any material movement..
Albert Kabili – Goldman, Sachs & Co.: And when you say the preemptive pricing, is that across all – which segments would that be?
Grant H. Beard: It’s a little bit by product line, a little bit in Packaging and a little bit in our Industrial Specialties Group.
Operator: Our next question is from Thomas J. Klamka – Credit Suisse. Your line is open.
Thomas J. Klamka – Credit Suisse: Could you talk about ISG for a minute? Your sales actually improved quite nicely in the quarter, EBITDA was flat, you make reference to some additional expenses. How does profit line profitability look there?
E. R. Autry, Jr.: Tom, basically what we had in Q4 was kind of a mix change in monogram that was pretty significant and that took basically their profits down to flat year-over-year and we also had a fairly significant mix change in cylinder. We sell more and more cylinders abroad, we export those and we tend not to make as much money on those as we do the ones we sell in North America. So it’s mix, primarily, for the ISG business.
Thomas J. Klamka – Credit Suisse: Does that mean margins in the quarter were more representative of margins going forward?
E. R. Autry, Jr.: No, no. I would say the margins in the quarter were unusually low.
Grant H. Beard: The experience in monogram was simply backlog management in letting guys take longer runs on families of product to satisfy customer demand so absolutely not, Tom.
Thomas J. Klamka – Credit Suisse: So this mix issue is more of a one time mix issue as opposed to the businesses –
Grant H. Beard: Sure, when you look at it over multiple quarters you will not see the impact.
E. R. Autry, Jr.: Tom, that’s why I was careful to say in my script that it was temporary.
Thomas J. Klamka – Credit Suisse: On RVT and Rec Accessories can you talk about I guess inventories in general, it looks like your own inventories for TriMas were up substantially year-over-year and also inventories in the field. How do they look?
Grant H. Beard: I think our inventories in TriMas were up a little bit coming across the year as we have changed our supply lines and become more global a buyer of components and frankly we bought some product into our Energy Group and got the timing wrong a little bit. In the back half of the year our engine and compression product which we buy all those components outside of the US or the majority outside of the US ultimately had to sit for a little bit. So we think our relative working capital will come down back into more traditional levels going forward. Specifically in RVT and RAG we have, Skip spoke about it, we have started to moderate those inventory investments. It’s caused a little bit of an absorption issue in the first quarter but it’s the prudent thing to do and then I think the last part of your question, Tom, when we look out at our wholesale distributors or trailer manufacturers, RV end dealership or OEM may be inventory levels really are in quite good shape. There was a real push down in 07 and the OEMs have not sort of built up unsold inventory. When demand comes it will come through the system fairly efficiently.
Thomas J. Klamka – Credit Suisse: Year-over-year it looks like inventories are up $26 million, how much of that is excess because of RVT and those other issues you mentioned versus how much is just because you are outsourcing and importing is this a big part of the business now? How much can that come down basically?
E. R. Autry, Jr.: The inventory increase in the main was not in our Recreational Accessories business, it’s pretty much if you look, it’s spread across Energy, it’s spread across ISG and it’s spread across Recreational Vehicle & Trailer. And the reason for RV&T’s inventory increase has a lot to do with the work we’ve done in Australia in terms of rationalizing plants. I would say Rec Accessories had very little of the increase with the increase being spread across the other segments in support of growth initiatives in Energy and ISG and in support of rationalization efforts in Australia.
Grant H. Beard: But our expectation is not to further invest in expansion of inventory. We see it coming back the other way, Tom.
Thomas J. Klamka – Credit Suisse: And then on the discontinued ops, I think in your press release you said that $6.4 million would have been the EBITDA associated with that in 07 on a comparable basis with 06. Correct?
E. R. Autry, Jr.: Mm hmm.
Thomas J. Klamka – Credit Suisse: How much of that, and that includes the rocket launcher business and this property management, what was that?
E. R. Autry, Jr.: The property management business, Tom, is we have property and facilities on the West Coast and basically that business has been included in Industrial Specialties, it’s been generating circa $1 million of EBIDTA and we believe we can sell it for a very nice multiple and then redeploy that capital into other businesses. It’s a business that’s always been inside of TriMas and it’s always been in Industrial Specialties.
Grant H. Beard: The value is the land not the earning stream. In the rocket launcher business which would be the remainder is a little bit of a misnomer, Tom, because there was an acceleration to build out finished goods so we could complete a multi-year product at the back of the year and then in a sense hand over to our buyer a completed set of inventory. So it’s not really a representation of a run rate, it was the completion of the remainder of a contract.
Thomas J. Klamka – Credit Suisse: But the EBITDA from that business would have been $5.4 million and net proceeds for both of these, I guess in total and how much was, it looks like your asset sale proceeds were around $3 million in the quarter. How much is less is to come from that?
E. R. Autry, Jr.: Tom, we’re in the process now and we’re really leery to throw out numbers around that but what I said makes sense. If you look at our normal run rate EBITDA from these businesses with 07 not being a normal run rate, $2 to $3 million is more of a normal run rate. If you look at what we sell the property and the rocket launcher business for in relation to the EBITDA the normal run rate, you’ll see a very reasonable return.
Thomas J. Klamka – Credit Suisse: And was any of that received in the fourth quarter?
E. R. Autry, Jr.: We did sell the rocket launcher business in the fourth quarter.
Thomas J. Klamka – Credit Suisse: So it’s just the property that’s remaining?
Grant H. Beard: The property is what the value –
E. R. Autry, Jr.: It’s obviously, Tom, that’s where the value.
Thomas J. Klamka – Credit Suisse: And the rocket launcher business is I mean maybe for accounting purposes is a discontinued operation but it’s really just a wind down of a program?
E. R. Autry, Jr.: Yeah, essentially that’s right. But it’s been a program that we’ve had for a long time.
Thomas J. Klamka – Credit Suisse: And then just last question, what do you see for capital spending going forward?
E. R. Autry, Jr.: Tom, we’re not changing our view. I mean 3% of top line turns out to be a pretty good proxy for our cap ex spending.
Thomas J. Klamka – Credit Suisse: So that’s your continued –
Grant H. Beard: And I think the way to look at that is about a third of that is maintenance and the other two-thirds is fairly discretionary and it’s really around growth initiatives. So it’s fairly manageable.
Operator: Our next question is from John Inch – Merrill Lynch. Your line is open.
John Inch – Merrill Lynch: Didn’t realize this was like 25 questions per person here, but anyway.
E. R. Autry, Jr.: At least you’re early in the line, John.
John Inch – Merrill Lynch: Well I’m going to, in contrast to those first two, ask a couple. Huge write downs, what if anything is the impact toward your interest costs, your debt ratings and what, if you look at the rest of these businesses – because a lot of people don’t think these consumer markets are getting better possibly for years, what is the risk of further impairments?
E. R. Autry, Jr.: In terms of the write off affecting any of our bank agreements or borrowing arrangements, there is no impact. And as I said we wrote down those businesses to about a 6 times multiple which we think is a very reasonable write down. So we wouldn’t expect future write downs necessarily for these businesses. Now that all depends obviously on how the economy does and how these businesses do.
John Inch – Merrill Lynch: This $0.21 to $0.24, I mean the first quarter is basically over, so in theory you should be providing guidance for the June quarter but maybe you could help me a little bit, I’m going to assume that with the quarter over, you’re going to do $0.21 to $0.24. Should all things equal in terms of the trajectory of your businesses, should your second quarter be up or down versus the first quarter on an EPS basis?
E. R. Autry, Jr.: Oh, it should be up.
John Inch – Merrill Lynch: Is that because of seasonality or is it that based on what you see going on in terms of end market demand currently?
E. R. Autry, Jr.: It’s seasonality.
John Inch – Merrill Lynch: Last question, did any businesses in the December quarter and what you’ve seen to date, have any businesses gotten better? And if so, what do you think is going on there?
Grant H. Beard: I think that a number have gotten meaningfully better. We are seeing again in Energy our trajectory on our MRO business, our gasket business remains, it had a record year in 07, the difference in Energy is our well site products of engines and compression really have a substantial backlog being built as we come through the first quarter. And that’s being directly driven by the re-establishment of natural gas prices. So the Western Canada, Western US fields are now starting to redeploy capital. That’s been a very positive and I think our new product initiatives and support in aerospace we just continue to see acceptance and we’re getting products into all sorts of new applications and monogram continues to see its opportunities and demand strengthen. While medical is a small but growing part of TriMas, it is seeing strengthening demand and we expect over achievement in those areas. And I think, John, the Industrial Packaging portion of packaging which had some volatility in the sort of third quarter of 07 really regained its footing in the fourth quarter as we said it would and we’re seeing order demands really remain quite consistent in our new product initiatives in that group we believe will drive future growth. So that’s sort of a long answer, but that’s it.
John Inch – Merrill Lynch: I’m just trying to understand, so the businesses are getting better would represent what portion of the company versus – I’m assuming these businesses that are getting worse are all these consumer basing some of these other industrial types of businesses in sort of sympathy with the economy. Is that fair? How much is getting better versus how much is getting worse?
Grant H. Beard: We believe all of our portfolio is going to get better in 08, John, and I think that where we see end market exposure, the only place we see it deteriorating or having the opportunity to be tougher is to your point where there is discretion to spend this consumer oriented, what we call our after market. It was down 10% last year in aggregate, volumetrically we were up 2% and we think that our business initiatives give us a chance to out perform the market again. But at the macro level that’s where we see weakness. Everywhere else our served markets are either flat or growing.
Operator: Our next question is from Walter Liptak – Barrington Research. Your line is open.
Walter Liptak – Barrington Research: I’ll try and keep it under 25 questions, too. I wanted to ask a few on cash flow. 2008 what’s your guidance equate to on an EBITDA basis?
E. R. Autry, Jr.: Our guidance, Walt, is kind of not to pin a number but I would say the mid $140s to low to mid $150s.
Walter Liptak – Barrington Research: And how about cash flow from operations for 08?
E. R. Autry, Jr.: Cash flow from operations will continue to be strong. It’s an attribute of the company and while we’re not putting specific guidance out there I don’t think it’ll be 65 but I think it’ll be very solid. You know $40 to $50 million.
Walter Liptak – Barrington Research: If you’re drawing down inventory why wouldn’t your cash flow higher in 08 versus 07?
E. R. Autry, Jr.: I tried to point out that in the prepared comments, part of the operating cash flow includes incremental borrowing on the receivables arrangement. We basically take the receivables borrowing up to the kind of the high level. So we won’t expect to incrementally borrow more on that. So that takes about $20 million out of that number. So that’s kind of on the downside. On the upside we don’t nearly expect to spend incrementally on inventory like we did in 07.
Walter Liptak – Barrington Research: What about SG&A for 2008?
E. R. Autry, Jr.: I would say without giving a specific number it’s going to be up a little bit over last year.
Walter Liptak – Barrington Research: And the last question, you talked about financing. So the write down, the charges, if you were to take more charges – I know you’re saying you’re not going to – but if you were to – at what point does that impact your covenants or financing?
E. R. Autry, Jr.: We don’t see it affecting our bank agreement ever and I don’t believe it has any impact on our bond borrowing as well. So these are just non-cash from a bank perspective, they’re add backs so there is no effect on our borrowing. Our borrowing is cash flow based.
Walter Liptak – Barrington Research: And your next refinancing is in 2012?
E. R. Autry, Jr.: It’s out there a ways.
Walter Liptak – Barrington Research: So you’ve got the balance sheet to ride this out and hopefully the cash flow until –
E. R. Autry, Jr.: Right, and the only real refinancing we do inside of that is we have our annual renewal of our receivable securitization facility which we just completed at favorable rates and we certainly don’t expect that to be a problem in the future either.
Walter Liptak – Barrington Research: And it looks like with these recreation businesses, that’s obviously the weakest link in a consumer recession, if I’m looking at this right, you’re about two thirds US, one third international. Is that right? Or is it more of a mix toward US?
Grant H. Beard: It’s about 20% non-North American.
E. R. Autry, Jr.: Walt, when you look at our 10-K which we hope to either have filed this afternoon or tomorrow you’ll see in our footnote that our international businesses is about 20% but in addition to that we export a large amount of product outside of the state so as Grant said our international footprint went up 12%. That number that goes with that is circa $300 million.
Walter Liptak – Barrington Research: The growth rate all in for the Total TriMas or are you talking about recreation?
E. R. Autry, Jr.: That’s all in. That’s all tucked right in.
Grant H. Beard: That’s all in and I think, Walt, the remaining revenue in what we’ll call North America for our after market businesses is broadly 65% or thereabouts sort of consumer oriented and the remainder would be sort of industrial or agriculture. Yeah 64, so sort of in that range. And I think what we’ll expect to see in 08 is really what we saw in 07. Loss of new products, loss of content on the products served but probably more accessories sold than high end engineered weight distribution which would replace our more profitable lines. So we’re assuming the market is going to be down 10%. The RVIA is assuming a number less than that. I just think that’s prudent but I do think we will sell more of the bike racks and the cargo management and tie downs and things that are point of purchase, things that people will buy to augment existing products than new product applications which regretfully have a more engineering product content and have higher margins. That’s exactly what we saw in 07.
Walter Liptak – Barrington Research: How much were your consumer businesses down in 07 in North America?
E. R. Autry, Jr.: They were up.
Walter Liptak – Barrington Research: Excluding international, just in North America.
Grant H. Beard: They were up.
E. R. Autry, Jr.: They were up.
Grant H. Beard: We out performed the market by a lot.
Walter Liptak – Barrington Research: So you’re saying the RVIA numbers are to conservative and even though you out performed last year you’re taking the big cut to down 10%?
Grant H. Beard: I think that’s our view, to be prudent and we want to be conservative.
Operator: Our final question is from Todd Marinowski – Civil Point.
Todd Marinowski – Civil Point: Just one quick follow up, most of my questions have been answered, but I was still a little bit confused around this discontinued operations cash flow. So it sounds like the proceeds around the rocket launcher business were circa $3 million. Is that correct based on the cash flows received in the fourth quarter?
E. R. Autry, Jr.: That’s right, Todd.
Todd Marinowski – Civil Point: And then previously someone had said could we expect sort of 5 to 6 times in aggregate on the stuff that’s being sold and I think you guys said that’s not unreasonable, but I was unclear as to what number and multiple of that 5 to 6 times, is it the full $6 million or is it something smaller?
E. R. Autry, Jr.: No, Todd. The $6 million EBITDA for 07 is unusually high due to kind of the wind up of the program and build out of the program. The more appropriate number would be $2 to $ million.
Todd Marinowski – Civil Point: $2 to $3 million combined for the two?
E. R. Autry, Jr.: Right.
Todd Marinowski – Civil Point: So I might say $2 to $3 million times 5 to 6 less the $3 million you’ve already received and that would be sort of future –
Grant H. Beard: You guys continue to narrow it down.
Operator: There are no further questions at this time.
Grant H. Beard: We thank everybody for your attention and your participation in today’s call and this will conclude our call. Thank you.
Operator: Ladies and gentlemen thank you for your participation in today’s conference. This does conclude the program. You may now disconnect.